Operator: Welcome to the Retail Opportunity Investments 2018 First Quarter Conference Call. [Operator Instructions]. Following the company's prepared comments the call will be opened up for questions. Please note that certain matters discussed in this call today constitute forward looking statements within the meaning of the federal securities law. Although the company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions. The company can give no assurance that these expectations will be achieved. Such forward-looking statements involve known and unknown risks, uncertainties and other factors, which may cause actual results to differ materially from future results expressed or implied by such forward looking statements and expectations. Information regarding such factors is described in the company's filings with the securities and exchange commission including its most recent annual report on Form 10-K. Participants are encouraged to refer to the company's filings with the SEC regarding such risk factors as well for more information regarding the company's financial and operational results. The company's filings can be found on this website. Now I would like to introduce Stuart Tanz, the company's Chief Executive Officer.
Stuart Tanz: Good morning, everyone. Here with me today is Michael Haynes, our Chief Financial Officer; and Rick Schoebel, our Chief Operating Officer. As 2018 gets fully underway, we are pleased to report that the company is off to another solid start. Demand for space across our portfolio in core markets continues to be strong. While the first quarter of each year's typically relatively quiet on the leaf in front following the holiday season that has not been the case for us this year. In fact, it's been the most active first quarter on record for ROIC. We leased over 400,000 square feet driven in part by tenants proactively coming to us to renew their leases, well ahead of their lease explorations. In terms of new leases, we continued to not only achieve solid rent increases overall, but we're also making the most of the broad demand carefully select the best retailers based on their financial strength and their ability to consistently draw daily customers as well as the right fit at each center in terms of retailer mix. Rich will go through the details in a minute, but it's safe to say that we're off to an excellent start in 2018. With respect to acquisitions, as we commented on our last call, given the volatility in the market, we are being cautious in this environment and that prudently slowed our activity for the time being. With that in mind, as previously announced, we only accord one shopping center in the first quarter of property located in the Seattle market, which continues to be one of the hottest markets in the country. In fact, the state of Washington was recently ranked as having the best state economy in the country with the ongoing pet boom in Seattle leading the way. The shopping center that we acquired is located in Tacoma, which is a densely populated submarket of Seattle. Immediately surrounding our shopping center, there are number of new multifamily developments under construction that are geared toward young professionals. Additionally the city of Tacoma is in the process of expanding their lightrail transportation system that includes a stop directly in front of our shopping center. We think the long-term prospects of this grocery-anchored center are very promising. With this acquisition, we now own 16 grocery-anchored shopping centers in the Greater Seattle market, totaling upwards of 2 million square feet. We also have one additional grocery-anchored shopping center acquisition under contract that's located in Portland, which is another very strong, rapidly growing top-ranked market. The property that we are acquiring is located in a mature, established submarket of Portland, where we currently own several other key grocery-anchored shopping centers. In fact, with this new acquisition, we will own all of the grocery-anchored shopping centers serving the submarket, which will add to our ability to move and maneuver tenants, drive rents and enhance long-term value. Beyond these two acquisitions, we continue to keep a close eye on the market. As it relates to widely-marketed grocery-anchored shopping centers, while the deal flow in Florida that is compared to the level of activity during the past several years, there's still continues to be plenty of properties on the market. And while there aren't as many buyers as before, the ones that are in the market are still aggressively pursuing grocery-anchored properties, such that pricing has only moved marginally. Cap rates have generally been in the low-five so far this year, or about a 25-basis-point increase on average give or take, from the record low cap rates that we saw last year. That's pretty well consistent across all our metro markets up and down the west coast. In terms of off market, privately-held shopping centers, while the flow of inquires remains active seller pricing expectations haven't changed much to speak up thus far, as people are waiting to see which direction the market and interest rates will head, once the current volatility settles down. Taking all of this into consideration, we intend to continue being patient. Now I'll turn the call over to Michael Haynes to take you to our financial results for the quarter. Mike?
Michael Haines: Thanks, Stuart. For the three months ended March 31, 2018, the company had $74.4 million in total revenues and $27.3 million in GAAP operating income, as compared to $65.9 million total revenues and $22.9 million in GAAP operating income for the first quarter of 2017. GAAP net income attributable to common shareholders through the first quarter 2018 was $10.7 million equating to $0.09 per diluted share, as compared to GAAP net income of $10.2 million or $0.09 per diluted share for the first quarter 2017. In terms of funds from operations for the first quarter of 2018, FFO totaled $37 million, equating to $0.30 per diluted share, as compared to FFO of $34.3 million or $0.28 per diluted share for the first quarter of 2017. Included in other income, during the first quarter, we received a $2.2 million lease settlement payment from a former tenant at a property that's displayed to be sold and redeveloped as multifamily. In terms of property level net operating income, on the same center comparative basis, which includes all of the shopping centers that we've owned since the beginning of 2017, encompassing about 90% of our total portfolio GLA, cash from increased by 2.4% for the first quarter 2018, as compared to the first quarter of last year. Bear in mind that with our portfolio at over 97% leased, specifically 97.5% for the same center pool, both this quarter as well of last year, which is essentially full, we still continue to consistently achieve same center NOI growth. In other words, our growth isn't coming from the benefit of increasing occupancy through leasing up vacant space. Our consistent growth is the function of our entire team all working together. From our leasing personnel working hard to drive rents higher as leases roll to our accounting team working diligently to maximize recoveries, to property management folks working to operator properties as efficiently as possible. If this coordinated effort of proactively working our portfolio by entire organization that continues to drive our performance. Turning to the company's balance sheet. At March 31, the company had a total market capital of approximately $3.7 billion and approximately $1.5 billion in debt outstanding. For the first quarter, the company's interest coverage was 3.4 times. With respect to the $1.5 billion debt, the vast majority of that is loan secured. In fact, during the first quarter, we reduced our secured debt outstanding, retiring a $10 million mortgage, leaving us with only $96 millions of secured debt to that. In terms of our unsecured debt, the bulk of it is long-term fixed-rate bond with the weighted average remaining maturity of 7.6 years. And regarding our unsecured credibility facility, at March 31, we had approximately $160 million outstanding on our line. Lastly, in terms of our FFO guidance, thus far, we're on track with our previously stated guidance of achieving FFO between $1.16 and $1.20 per diluted share for the full year 2018. Now I'll turn the call over to Rich Schoebel, our COO to discuss property operations. Rich?
Richard Schoebel: Thanks, Mike. As Stuart highlighted, demand for space across our portfolio is strong and we continue to make the most of it. And as Stuart touched on, the demand continues to be driven by a broad base of retailers, most notably in the services, fitness and restaurant sectors, where there continues to be an abundance of new concepts being introduced, particularly unique boutique-like concepts that are tailored for specific targeted consumer. By and large, these focus new concepts are proving to be very successful across our markets. We're also seeing a growing influx of retailers from other parts of the U.S as well as some from Canada. Looking down to the west coast, again with very specific demographic parameters and with the goal of positioning their businesses at the most convenient, accessible locations in the heart of their target customer bases. In short, it's safe to say that our tenants today from the local mom and pops to the growing regional retailers to the expanding national players, they're all keenly and astutely drawn to location attributes and surrounding demographic profiles of our shopping centers. Looking at our specific result thus far in 2018. We continue to maintain our portfolio lease rate above 97%. At March 31, our portfolio stood at 97.4% leased, representing the 15th consecutive quarter of achieving portfolio lease rate at or above 97%. Breaking that 97.4% down between anchored and nonanchored space. At March 31, our anchor space was a full 100% leased and our shop space stood at 94.4% leased. As Stuart noted, the first quarter of 2018 was our most active first quarter to date. Specifically, we leased 424,000 square feet, which is already more than half of the total amount of space scheduled to roll during the entire year. Off the 424,000 square feet, nearly 80% of that involve renewals, including many tenants that came to us, well in advance of their lease expiration, including a number of key anchor tenants. While we achieved a solid 8.3% increase in cash are renewals most of the renewals involved tenants exercising options with fixed increases. A majority of these fixed increases are notably below the current market. As a result, there continues to be considerable embedded growth in these leases going forward. In terms of new releases, given that our portfolio is near 100% full at 97.4% leased and less than 4% of our portfolio is rolling this year, this means that we only have a limited amount of available space. As such, we're focused not only on capitalizing on the rent growth across our market, but also on continuing to bring the right retailers to our centers. Retailers that complement existing tendencies and serve to grow shopper frequency and enhance the appeal and value of our property. Specifically, during the first quarter, we executed 26 new releases, totaling 85,000 square feet achieving a 21.6% increase in same space cash rent on average. And just to give you an example of our thought process in terms of selecting the right tenants. During the first quarter at one of our grocery-anchored shopping centers, we had an anchor tenant's lease expire, which was a regional theater operator. While, we had a number of new anchor retailers highly interested in the space, the regional theater had been acquired by a well established national chain, and they came to us wanting to sign a new long-term lease at a much higher rent, with the plan to convert the space to the new popular stadium-style sitting format. What that meant from our perspective is that we could get a substantial increase in rent with no downtime between leases backed by a corporate guarantor, and if the user will bring consistent consumer traffic to our center. Furthermore the reduced seating format will free up a considerable amount of dedicated parking requirement, whereby we can now introduce several new restaurants to our property which are in high demand and will further drive daily consumers to our center. In short, this one lease transaction will serve to notably enhance our property in several important ways. Lastly, in terms of the economic spread between build and lease space, at year end this spread was 3.6%, representing $7.8 million in additional annual rent on a cash basis. During the first quarter, hence representing about $2.8 million of that incremental $7.8 million started paying rent, off which $429,000 of the $2.8 million was received in the first quarter. Taking the $2.8 million into account, together with our leasing activity during the first quarter, as of March 31st, the spread was about 3%, representing approximately $6.8 million, which we expect will come online, as we move through 2018. Now I'll turn the call back over to Stuart.
Stuart Tanz: Thanks, Rick. Looking ahead, this strong and broad demand for space bodes well for the future prospects of our business, not just near-term but long-term as well especially given how protected our markets are. Not withstanding the demand for space, given the lack of available land that difficult entitlement process on the west coast, there continues to be very limited new supply. Especially, as it relates to grocery-anchored sector and the specific metro markets that our portfolio is focused in. Additionally the strength and diversity of our tenant base also bodes well for the future prospects of our business. While many shopping centers across the country continued to be adversely impacted by internet retailing, that's not the case with our portfolio. We focus on leasing to retailers in the daily necessity sector, and tenants that provide goods and services that bring shoppers to our properties consistently, like restaurants, doctors dentists, so on, fitness clubs, just to name a few, as well as entertaining users, like Rich spoke off. In fact today, over 80% of our revenue comes from these type of tenants, with supermarkets being the largest, given that 95% of our portfolio is grocery anchored. Additionally, today, our tenants are implementing innovative omnichannel internet strategies to enhance their bricks and mortar productivity. In summer, we look forward to continuing to work hard at taking full advantage of the strong fundamentals across our market as well as taking full advantage of the strong portfolio and tenant base that we've built over the years to continue building value and delivering solid results. Now we'll open up the call for your questions. Operator?
Operator: [Operator Instructions]. Our first question comes from the line of Collin Mings from Raymond James.
Collin Mings: Just the start, Stuart. Just going back to your prepared remarks on the acquisition environment. That 25-basis-point move in cap rate, should we think about that being an apple-to-apples comparison or is that a kind of a reflection of the mix of deals getting done this year?
Stuart Tanz: It's a mix of deals. It's not what I would call, I mean, it's more specific to the metro markets and grocery-anchored shopping centers. But it is a better mix in terms of the number of retailers. So it -- it's primarily across the whole west coast, but every property is going to be different in terms of where that pricing is going to end up and how wide that number is going to be.
Collin Mings: Got you. I guess the overall takeaway or message there is that you have seen some upward pressure on cap rate in the current environment.
Stuart Tanz: We have, but it's very little. And it's -- very little on the margin, as I said in my prepared remarks.
Collin Mings: Okay. And then, can you maybe also update us on how you're thinking about the trajectory of the same store NOI growth through the remainder of the year. Last quarter, at you suggested that 1Q would likely be the low point and kind of build from there in terms of year-over-year growth. And just update us on how do you think about that through the remainder of the year?
Stuart Tanz: Sure, I mean, I think, as we articulated in our call, our last call, we expect same store to ramp up, primarily as we move through the year, but certainly, as we head into the second half of the year that's when we get a full run rate in terms of all the anchor leasing -- that repositioning we've done as well as the leasing that we've done. So again, it looks like it will continue to ramp up and with some certainly some very nice increases as we move towards the end of the year.
Collin Mings: All right. One last one for me and I'll turn it over. Just as far as disposition, Stuart, I know it's been something we've talked about a lot over the last several conference calls. But just your updated thoughts there in context of your prepared remarks about the deal acquisition environment. They're still being a quality buyers out there, but maybe that buyer pool has come down a little bit in terms of size.
Stuart Tanz: Yes, the buyer pool has shrunk, but certainly, any capital that's out there looking for retail, the focus is grocery, drug-anchored in the, again, the more affluent primary markets. Dispositions, I think, as we articulated, we are in the midst of selling a couple of assets that are being redeveloped as residential properties and both are going through entitlement, which we're helping to expedite. And we expect to have that completed as we moved through the year. And we are all looking at a couple of other properties as well as at the present time in. Well, I'll have a bit more hopefully to talk about our next call regarding what we're doing there.
Operator: And our next question comes from the line of Christine McElroy from Citi.
Christine McElroy: Just, Stuart and Rich, you both talked about record leasing volumes in the quarter and more tenants proactively coming to you early to renew, maybe you could expand on those comments a bit. Why do you think that's happening today in this market. Is it happening more among the anchor space or the smaller shops space, just expand on that a bit.
Richard Schoebel: Sure. I mean, if you mostly activity probably in the anchor space. I think that some of our anchor of leases are coming up with the there are no options remaining or only one option remaining. The anchor tenants are looking out a bit further than the committed term that they have available to themselves. They want to put capital into the stores in many cases, and they need term. So it's bringing them to come to us earlier than their stated option would require them to, so that they can invest capital in the space. We have Kroger adding fuel to one of our property, so now they want to extend out the grocery store to be coterminous with this new fuel station. There's lots of motivation, but they it it's usually because they want to invest in the location.
Christine McElroy: Okay. And then just regarding your new capex disclosure on Page 6. Can you talk about the difference between the tenant improvements and the value enhancing kind of improvements, is the value enhancing portion related to some sort of redevelopment or expansion activity.
Richard Schoebel: Yes, I wouldn't say redevelopment or expansion. The value enhancement TIs kind of break those up from regular TIs to primarily more of the shop space. But the value enhancement TIs are those associated with the situations, where we recaptured underperforming space. And in some cases years ahead of the lease is expiring acquired properties and release it to stronger retailers at higher rents.
Christine McElroy: Okay. So it's all this sort of normal leasing CapEx still?
Richard Schoebel: In a sense, yes. I think, these are primarily more to anchored spaces than small-shop tenants. Many more spaces reconfiguring that spaces versus going and just finding one vacancy and release in the one vacancy is looking at really the, what we call, the tenant mix and the repositioning of that tenant mix playing offense versus just sitting around and waiting for them to renew their leases. We look at where we're we with the tenant demand at west. We have the ability to look at expirations and then enhance the real estate versus just lease what's there.
Christine McElroy: Okay. Got you. And then, lastly, just a follow up on Collin's question. You talked about cap reaching your market to increasing a little bit at the margin, but the cap rate implied by your stock price has risen meaningfully more over the last year. To what extent does that motivate you to get more aggressive on disposition? So you talked about what you're doing, but maybe your motivation there? And whether it's dispositions or putting it towards share buybacks or even something bigger to the extent that you have this public/private valuation gap that exists today?
Stuart Tanz: Well, the gap has gone quite wide for ROIC. Certainly, looking to more debt dispositions as we move through the year. But I think more importantly, when investors really need to understand and look at today in terms of the sector is really looking at the management teams. And I think one thing you're going to get with this management team is, one that is battle tested as we say. We've been through many recessions. We've seen many things occur over the years. And with the high quality portfolio that we have, we feel being patient is the best thing to do at the present time. So certainly, we're looking at share buybacks, and we're looking at increasing dispositions and other things. But the reality is that, the good news is that, we are in a great position to be thinking outside the box, and more importantly, staying very proactive in playing offense on the West Coast.
Operator: And our next question comes from the line of Wes Golladay from RBC Capital Markets.
Wesley Golladay: Stuart, we're looking at that 3% gap versus lease versus economic? Do have a sense of how much is in the same-store pool? Or should we just expect outside growth from the non-comp pool this year?
Stuart Tanz: We don't have the -- I don't know that broken down in front of me. So I really couldn't give you an answer at this time. I'd like to follow-up with you after the call.
Wesley Golladay: Okay. Sounds good. Stuart, you also mentioned that you're still playing offense. Are you looking to gain control at anymore of your sites? And are you looking any incremental dispositions of non-income-producing assets?
Stuart Tanz: I mean, the answer is yes. We're looking at a couple of opportunities in terms of either some land that is the one of our centers or maybe an opportunity even within the center in terms of repositioning. But that's our normal business as we say. I think that could be it. And just in terms of looking at the real estate. Dispositions, we are continuing to focus on, but nothing really to talk about at the present time, but we're making some headway there.
Operator: And our next question comes the line of Jeff Donnelly from Wells Fargo.
Jeffrey Donnelly: Stuart, I guess, thanks for the commentary on, I guess, capital markets. You mentioned that there might be fewer buyers showing up for transactions. I'm just curious, what sorts of buyers are backing away or not showing up in your opinion?
Stuart Tanz: Certainly, private companies. We don't see as many syndicators, speculators, people that really are looking to deploy capital on a short-term. These are really buyers that are much longer-term as it relates to investing their capital. So it's institutional capital. It's 1031 buyers. But -- and then, I think there are number of buyers out there that are like us are being somewhat patient. They are sort of watching the market and thinking about where cap rates might go? Whether they go higher or lower? But I think it's a combination of all 3 in terms of why the pool is smaller. And then I think the financial markets having a bit of an impact in terms of the buyer profile. What we do see out there and somewhat hear is that, there's not as much financing available for under-capitalized buyers. So that's having an impact. It's all really all of those that's really impacting what we're seeing in the market at the present time.
Jeffrey Donnelly: So where do you think that threshold is? I'm not sure if you kind of think of it on a loan-to-value basis. Like is it financing or was financing may be readily available a year ago or two years ago at 70%, 80% LTV, and today it's dropped down, I guess? Do you think it's the access to debt or access to debt proceeds in that regard is pushing people out?
Stuart Tanz: I think its the cost of debt capital and its the access.
Michael Haines: Actually, I think the lender is a little bit more discerning through where the borrower is, and pushing down the LTV [indiscernible] depending on the credit quality of the borrower.
Jeffrey Donnelly: And then, just to switch gears. I noticed that, is it your way to average lease term for just nonanchored deals, up deals? Having kind of bumped up steadily in the last few quarters from about five-year deals to closer to six-year deals. Is that a concerted effort to seek out term on leasing? Or is there something else driving that decision? Or is it really just kind of coincidence, I guess?
Stuart Tanz: I think it's probably mostly coincidence, although we do take a hard look at getting committed term out of the tenants. The trickly tenants that want to get several options will typically require that they commit to more term upfront because it's a bit of a one-way street when you hand out an option. So we do make an effort to get more committed term.
Jeffrey Donnelly: This might be a similar answer, but when I look at the new and renewal shop rents that you're achieving, like in this most recent quarter, it's about a 3% spread to what the average shop rent is that's expiring in 2018 and 2019. Last year, however, that gap was about 6% to 7%. I guess, I'm wondering, do you think that sort of instructive that leasing spreads could decelerate over the next 12 or 18 months, just simply because either market rents aren't expanding as much or maybe you face slightly higher hurdles and your expiration is scheduled this year than did last year?
Stuart Tanz: I don't think we have any higher hurdles this year versus last year. I think that number moves around just depending on the particular deals that happen to be done in that particular quarter. So it's a really hard to give -- to nail down down a run rate that you'd see going forward. But there's still a lot of good -- better growth within the portfolio.
Michael Haines: Yes, we don't see this as a trend, Jeff. Remember, we have to report every 90 days, which articulates so many tenants that we kick out within 90 days. So -- but no, this is -- we don't see this as a trend at all. In fact, as we're in the second quarter right now, we're continuing to see the mark-to-market on our renewals very strong, and in a number of cases, higher than that number, that 3% number.
Operator: And our next question comes from the line of George Hoglund from Jefferies.
George Hoglund: First question is, in terms of the $150 million, $160 million line balance, any kind of updated thoughts on that, given just how the stock price is performing year-to-date?
Stuart Tanz: Well, that's the only available debt we can pay down, everything else is fixed rate long-term debt. The repositioning initiative is kind of on the tail end of the major ones we're proactively doing. Our free cash flow this year should be higher than in the past. Most recently is to delever. So obviously, the stock price is now where we would like it to be.
Richard Schoebel: So it will be a combination of some massive tails to end of free cash flow that will continue to move that revolver...
Stuart Tanz: Back end of our debt.
Richard Schoebel: Down, exactly.
George Hoglund: Okay. And then just looking at shopping center sector more broadly, What's your sense on kind of the M&A environment? Do you think there's an appetite out there from private equity or other capital just in terms of larger entity level transactions? And are you guys hear any discussions like starting to happen, people kicking the tires out there or is it just everyone is just still sit on the sidelines?
Stuart Tanz: Well, certainly from an M&A perspective, I don't hear much chatter out there at all. And I think a lot of the other companies are working and spending time on their real estate versus trying to go out and get bigger as we say. I think the one thing that you see in the market today that's playing out certainly with the change in retailing is that, the smaller, more focused management team, and which are much more focused management team, I think, certainly has a bit of an advantage, which means the smaller companies just in terms of dealing with the changes that we see out there are changes that might be coming. So from an M&A perspective, I don't really see or hear much activity. I don't think there will be much activity in the sector. I think some of the other CEOs who currently I've spoken to, when I've asked about M&A said, why would I want to take on more of what I have at the present time, when I'm trying to work through some of the bigger issues out there as it relates to box retailing, primarily.
Operator: And our next question comes from the line of Todd Thomas from KeyBanc.
Todd Thomas: First question, just on the same-store NOI growth and the expectation that you'll see growth ramp throughout the second half. I just wanted to clarify whether there's been any change at all to that 2.5% to 3.5% forecast for the full year?
Michael Haines: No. I think we're still maintaining that guidance. I think, we expect the first half to be lighter than the second half, and actually Q1 came in a little bit better than what we thought it would. But we're not enough to make us want to move the overall guidance range.
Todd Thomas: Okay. And then, on the dispositions, are there -- two things. Are there any asset sales that are embedded in guidance? And then to the extent that you execute on some asset sales here throughout '18, how should we think about where proceeds will be redeployed today? Stuart, you mentioned the -- and that's when pipelines slowing a little bit. I know that can change quickly, but how -- would you prefer to buy assets or you're considering reducing leverage?
Stuart Tanz: It's a combination of both really. I mean, we -- in our guidance, we assume that we would sell from some stuff that we deploy that capital as we go. So -- on a net-net basis, really no change. However, as we look forward, there is still opportunities out there for the company in terms of doing OP units as well as sourcing off-market deals that have bought good NOI growth. So it's really the churning of the capital in terms of our guidance, Todd. And that's how we've sort of model things.
Todd Thomas: Okay. And then, Rich, in terms of those tenants that you're approaching you to renew early. Can you just walk us through those negotiations a little bit? I'm just curious, you're getting compensated with a better mark-to-market than what would be implied by market rent today. And also, how much of this, how much GOA do you foresee this type of activity for in 2018?
Richard Schoebel: A little hard to target a GOA. I mean, we really deal with these as they come up. We obviously, proactively also reach out when we have a lease that's renewing in a couple years. We know that they don't have any options left. We start that conversation early, so that we can get some certainty with our anchor tenants. I don't know that there's any good way to predict from a square footage perspective, but every time something comes up, we look at other opportunities. The Kroger deal I mentioned, where they're putting in fuel, may now want to put a couple million dollars into that particular store. We are now trying another location. Together with that, we're going to have them exercise an option early. So not only are we dealing with one shopping center, we're bringing in and using our scale to secure an anchor tenant at another shopping center. So we're working at every single day. There's no doubt about it.
Stuart Tanz: And I think that the key here, Todd, the fact that team management team, but a portfolio that is very high quality and very well located and very sought after in terms of retailers. So we have the ability when we deal with one retailer to actually go talk about all their other locations. And that's the power of being in the markets we're in and having the quality of assets and having retailing in this market right now. We're still leading the charge in terms of that landlord tenant relationship. And I don't think you're seeing that in too many other places.
Todd Thomas: Got it. And that's helpful. And then just lastly Rich, You talked about some retailers that are coming to the West Coast from elsewhere in U.S. and also from Canada. Can just provide some examples, and maybe just give us a sense for how deep that demand is?
Richard Schoebel: I mean, our leasing team has just I think this first quarter they have been very impressed with the amount of offers that they have. They have multiple offers on this very few spaces that we have available. And it is coming from very boutique-type of operators. So it's -- we've been very fortunate to have very well located real estate that these new concepts are very eager to be to be in. So our leasing team is very optimistic about 2018 just from the demand that they've seen in the first quarter, which is usually when you have the lowest amount of activity.
Operator: And our next question comes from the line of Chris Lucas of Capital One.
Christopher Lucas: Just a couple quick ones. Michael, you mentioned that you are -- that the same-store NOI number came a little bit better than expected. Anything you can point to specifically that would help us understand what that was? And is it stealing or calling forward anything that you might have been expecting later in the year? Or what exactly sort of drove the maybe better-than-expected there.
Michael Haines: Nothing that stands out individual. It's probably a collection of small amounts across the portfolio of the centers we're in the same-store pool. But nothing usually different from
Christopher Lucas: And then, Rich, I guess the question is really to sort of tenant retention or tenant fallout. What have you seen this year that compares to sort of last year, the year before? Things better or worse with retailers on that front?
Richard Schoebel: I would say, it's pretty steady. In terms of year-over-year, there's been no increase in tenant fallout. The retention rate would remain in the mid-to-high 80s. I was just going to say that, kind of reflective in our bad debt regard tenant by tenant and made those in terms of bad debt. In the first quarter, they were very and only involving handful of shop tenants.
Christopher Lucas: Okay. Great. And then Stuart, last question for you. Just -- it relates to the unit conversations that you have with potential sellers. What level of flexibility as it relates to sort of where you stock you have relative to the valuation that you are willing to except? How off of sort of current market pricing are those sellers willing to negotiate?
Stuart Tanz: Well, pricing expectations among these owners haven't moved. So the relationship to unit valuation hasn't been favorable this year. So that's been sort of one of the underlying issues in terms of trading our current doing OP transactions. Although, I think certainly sellers are still comfortable in my discussions in terms of looking at a stock price that even with the current valuation at 20 or higher. So it's becoming a bit harder, but on the other hand, most of these owners know us well, know our real estate, and are looking for the long-term investment horizon versus the short-term. So the volatility in the market for them is not as important. But that's sort of where things sit from a transaction perspective.
Operator: And our next question comes from the line of Craig Schmidt from Bank of America.
Craig Schmidt: The property operating expense on your same-store seem NOI is up 7.2. I just wondered, if that's a good run rate for the remainder of the quarters, particularly given the ratcheting up of your same-store NOI growth?
Michael Haines: Necessary run right, but it's not -- we don't think it's indicative of a trend, it was more a function of the time certain expenses were building ahead.
Craig Schmidt: So we can expect the NOI to climb not only by stronger revenue growth but maybe a little bit less operating expense?
Michael Haines: Yes, exactly. If you look at the recovering income increase, that basically tracks with our overall recovery ratio as well. Even though expenses same-store those recovery income.
Operator: At this time, I'm showing no further questions. I would like to turn the call back over to Stuart Tanz for any closing remarks.
Stuart Tanz: In closing, I would like to thank all of you for joining us today. If you have additional questions, please contact Mike, Rich or me directly. Also you can find additional information in the company's quarterly supplemental package, which is posted on our website. And lastly, for those of you that are attending ICSE convention in Las Vegas next month, starting May 20, please stop by our booth, which will be in the South Hall at the corner of Street and 50th Avenue. We hope to see you all there. Thanks again, and have a great day, everyone.
Operator: Ladies and gentlemen, thank you for your participation in today conference. You may all disconnect. Everyone, have a great day.